Beth Roberts: Good morning. This is Beth Roberts, SVP, Investor Relations, Carnival Corporation & plc. Welcome to our First Quarter 2024 Earnings Conference Call. I'm joined today by our CEO, Josh Weinstein; our Chief Financial Officer, David Bernstein; and our Chair, Micky Arison. Before we begin, please note that some of our remarks on this call will be forward-looking. Therefore, I will refer you to the forward-looking statement in today's press release. All references to ticket prices, net per diem, net yields and adjusted cruise costs without fuel will be in constant currency unless otherwise stated. References to per diems and yields will be on a net basis. Our comments may also reference cruise costs without fuel, EBITDA, net income, net loss, earnings per share, free cash flow, and ROIC, all of which will be on an adjusted basis unless otherwise stated. All these references are non-GAAP financial measures defined in our earnings press release. A reconciliation to the most directly comparable US GAAP financial measures and other associated disclosures are also contained in our earnings press release and on our investor presentation. Please visit our corporate website where our earnings press release and investor presentation can be found. With that, I'd like to turn the call over to Josh.
Josh Weinstein: Thank you, Beth. Before I begin, I would like to express my support and heartfelt sympathy for all those impacted by yesterday's event at the Francis Scott Key Bridge in Baltimore and extend our appreciation to the co-stars and all first responders. The City and the Port of Baltimore have been our long-time partners and a home to many loyal guests as well as business and community colleagues. We proudly sail year round out of Baltimore through one of our Carnival Cruise Line ships, which was scheduled to return this weekend. Fortunately, our team has quickly secured a temporary home port in Norfolk for as long as it's needed, which should help to minimize operational changes. So we look forward to getting back to our home in Baltimore as soon as possible. Now, given that this happened just yesterday and the situation is fluid, we did not build this into our earnings materials or full-year guidance. However, we did provide a current perspective that we expect this situation to have less than a $10 million impact on a full-year guidance. With that, I'll turn to our prepared remarks which address the accomplishments included in our strong results and outlook. The first quarter has been fantastic across the board and yet another set of records. We delivered record revenues, record bookings and record customer deposits again this quarter, a great start to the year. I want to acknowledge our global team right off the bat. Everyone has worked very hard to deliver another strong quarter in a very strong way. In fact, we outperformed our first-quarter guidance on every measure. Yields, cruise cost, ex-fuel, and EBITDA enabling us to take our expectations up for the full year. Yields increased over 17% year-over-year, another record, and more than double the increase in unit costs. This was driven not only by closing the occupancy gap but also through solid mid-single digit price increases. Customer deposits beat last year's record by another $1.3 billion, contributing to our strong cash flow and enabling us to prepay another $1.8 billion of debt already this year, which is on top of the $4 billion we prepaid last year. This is meaningful progress on our return to investment grade credit. Most important, we achieved all-time high booking volumes at considerably higher prices. In fact, our North American and European brands both set booking records in the first quarter with pricing strong across all core deployments and across all quarters. Prices ran up double-digits on limited inventory left for Q2. They ran considerably higher for our peak summer period in Q3. And they were also considerably higher for Q4 while still building on our occupancy advantage. Our record book position and activity did not just happen and it is not the result of pent-up demand from repeat guests built up during the pause, which is now years in the rear-view mirror. It is because we have been creating more consideration and broad-based demand for cruise travel in all of our source markets across our well-balanced portfolio. And as a result, we are capturing more new guests than ever before which coupled with our growing base of repeat guests, delivers greater overall demand. Our brands are delivering sustainable revenue growth that hits the bottom line. At the same time, our brands are continuing to pull the booking curve forward in line with our yield management strategy to base load bookings and ultimately support higher overall pricing over the course of the booking curve. As you know, before even entering the year, we already had the best book position on record with less 2024 inventory remaining for sale after absorbing double-digit guest growth, half of which was from closing the occupancy gap and half from higher ship capacity. Those efforts have enabled us to maintain price integrity on the remaining '24 inventory and sets us up nicely to deliver a nearly double-digit improvement in yields this year. This also allowed us to focus more of our efforts through wave on further out bookings, helping to lay the foundation for an early build 2025. It is remarkable that we are even better positioned now for 2025 than we were last year at this time, heading into what is shaping up to be a phenomenal 2024. To aid in that effort, we have been rolling out an enhancement to YODA, our yield management tool designed to facilitate an even more optimal booking curve and which will continue to pay dividends well into the future. Of course, we have more in the pipeline to sustain our momentum and capitalize on this untapped revenue opportunity. For instance, we have three fantastic new ships driving increased consideration and demand to their respective brands. Carnival Jubilee, Carnival Cruise Line's third Excel-class ship was recently christened by Gwen Stefani at her inaugural home port in Galveston, Texas. Sun Princess was recently delivered the first of its class and a real game changer for Princess and soon to be delivered is Queen Anne, a new flagship for Cunard and its first new ship in 14 years. Of course, as you've heard me say before, we do not need new ships to increase yield as we continue to position our brands to drive demand in excess of supply and address the unreasonable value gap to land-based alternatives. We are also continuing to invest in the existing fleet with AIDA evolution, the largest modernization program in that brand history. The planned enhancements to the guest experience are designed to deliver a meaningful revenue uplift across the brand while further reducing its environmental footprint and bolster the performance of one of our highest-returning brands. And speaking of brands that truly outperform, we are also continuing to strategically invest in growth for Carnival Cruise Line. Celebration Key, our exclusive destination purpose-built for that brand's target guest is really starting to capture the imagination as they launched a new marketing campaign right in the heart of wave season. Although early days Celebration Key is already delivering an initial halo for bookings in the second half of 2025 across 18 Carnival Cruise Line ships departing from 10 home ports. We also announced the second phase of development for Celebration Key with a peer extension that can berth two additional ships in future years, further leveraging what will be a best-in-class asset for us. We expect ticket revenue uplift from this incredible destination as the guest experience delivers unmatched funds as well as incremental in-port spending. And this will be coupled with cost benefits driven by considerable fuel savings as it will be the closest destination of our seven owned and operated ports in the Caribbean. This destination is designed to support the continued growth plan for Carnival Cruise Line, including the two recently announced additions to its highly successful Excel-class for delivery in 2027 and 2028. All of these investments demonstrate our disciplined capital allocation strategy. We continue to prioritize our investments towards our highest returning brands and biggest opportunities. This includes investments to reduce our carbon footprint, which will not only have a measurable impact on the environment, but also improve our bottom line. Our strategic investment in advertising is also paying dividends, driving demand across our portfolio with several new campaigns launched during wave. In fact, our web visits are up over a very strong 2023 with increases in both natural search and paid search. We increased our advertising efforts around our strategic foothold in Alaska. Alaska has long been the lifeblood for both Princess and Holland America, and they have launched new campaigns to build even greater awareness for our unmatched land-sea experiences. This initiative isn't just US based. We have stepped up our marketing efforts across Europe with new campaigns for all our major European brands. AIDA's new campaign, Experience Yourself Differently launched in Germany to rave reviews, P&O Cruises' new campaign, Holiday Like Never Before, really hit home with its British guest base. And Costa's newly released campaign focusing on moments where guests are left speechless, has been met with much success in its core markets of Italy, France and Spain. These campaigns have contributed to the continued strength of our European brands, which has been a meaningful driver of our improved outlook. It is particularly rewarding to see our European brands flexing their muscles across their core European deployments. It is a real testament to the strength of our portfolio. The outperformance we've experienced this quarter has been a continuation of the strong demand we've been experiencing for all our core deployments. The Caribbean, Alaska and Europe have all helped deliver over a point of incremental yield improvement. This more than offsets the impact of the Red Sea rerouting as well as changes in the price of fuel and currency exchange rates since our last update. It has also enabled us to raise our full-year guidance for EBITDA and net income. Our improving operational performance coupled with excess liquidity and the lowest order book in decades leaves us well positioned to continue to opportunistically manage down debt and interest expense while reducing the complexity of our capital structure. This is very much aligned with our return to investment grade credit over time and our treasury team has been quick to capitalize on this trajectory with an ongoing stream of well-executed transactions to strengthen our balance sheet. With the vast majority of this year's business now booked, we have even more conviction in delivering record revenues and EBITDA, along with a step change improvement in operating performance lasting well beyond 2024. While we continue to optimize yield on the limited inventory we have remaining and still manage down costs, we have been turning more of our attention to delivering an even stronger 2025. We're gaining traction on improvements across the commercial space along our path of continued margin enhancement and increased returns. Again, I would like to thank our team members, ship and shore, the best in all of travel and leisure for delivering unforgettable happiness to another 3 million guests this past quarter by providing them with extraordinary cruise vacations. Of course, we couldn't do it without the support from our travel agent partners and so many other stakeholders. With that, I'll turn the call over to David.
David Bernstein: Thank you, Josh. I'll start today with a summary of our 2024 first-quarter results. Next, I will provide a couple of highlights about our second quarter and some color on our improved full-year March guidance. Then I'll finish up with an update on our refinancing and deleveraging efforts. Let's turn to the summary of our first quarter results. Our bottom line exceeded December guidance by $100 million as we outperformed once again. The improvement was essentially driven by two things, favorability in revenue from higher ticket prices as yields were up over 17%, nearly three-quarters of a point better than December guidance worth almost $30 million, while cruise costs without fuel per available lower berth day or ALBD came in over two points better than December guidance due to the timing of expenses between the quarters, which was worth over $50 million. Per diems improved 5% with improvements on both sides of the Atlantic driven by considerably higher ticket prices. At the same time, we saw outsized growth in occupancy of nearly 20 percentage points at our European brands on their path back to historical occupancy. Our North American brands of occupancy grew strong mid-single digits. The difference in occupancy growth on the two sides of the Atlantic resulted in a sizable mix impact on our consolidated onboard revenue per diems since as we have discussed in the past, our North American brand customers naturally spend more on board than their European counterparts. However, the underlying fact is that we saw an increase in onboard revenue per diems on both sides of the Atlantic, driven in part by the acceleration of strong pre-cruise sales growth. In fact, we saw a continuation of strong consumer behavior by guests onboarders trips, much like our booking trends this past quarter. As Josh indicated, first quarter was fantastic across the board with strong demand for our brands delivering record revenues, record yields and record per diems. Before I discuss our second quarter and full year guidance, I would like to add that given the timing of yesterday's events in Baltimore that Josh mentioned, our guidance does not include the current estimated impact of up to $10 million for the full year 2024 from the temporary change in homeport. Now a couple of things to highlight about our second quarter March guidance. The positive trends we saw in the first quarter are expected to continue in the second. Yield guidance for the second quarter is set at a strong 10.5%. The difference between the yield guidance for the second quarter and the first quarter yield improvement of over 17% is simply the result of the greater opportunity we had in occupancy in the first quarter 2024. With the improving trends we experienced during the first half of last year, 2023 second quarter occupancy was already seven percentage points higher than the first quarter. In addition, I did want to point out that nearly three-quarters of the full-year impact from the Red Sea rerouting is expected to occur in the second quarter with the remainder expected in the fourth quarter. Turning to our improved full-year March guidance. We are now forecasting a capacity increase of 4.5% compared to 2023. March guidance for net income of $1.28 billion is an $80 million improvement over our December guidance. The improvement was driven by two things, more than a point increase in yields to approximately 9.5% based on the considerably higher prices we have seen in booking trends so far this year and the continued strength in demand we anticipate going forward worth about $200 million. In addition, we are forecasting a collective improvement in all our cost lines, excluding fuel of over $50 million, including an improvement in cruise costs without fuel. This improvement of over $250 million is partially offset by the Red Sea rerouting impact of $130 million and the net impact from higher fuel price and currency of almost $45 million. The strong 9.5% improvement in 2024 yields is a result of an increase in all the component parts, higher ticket prices, higher onboard spending and higher occupancy at historical levels with all component parts improving on both sides of the Atlantic. I did want to point out that cruise costs, excluding fuel is expected to be better than December guidance due in part to cost savings related to Red Sea rerouting as certain ships reposition without guest as well as other efficiencies we identified that are included in our March guidance. While absolute costs are lower, the change in cruise costs without fuel per available lower berth day of 0.5 point from December to March guidance is simply the math of spreading all costs over the lower ALBDs resulting from the Red Sea rerouting as certain ships reposition without guests. We recognize that even within our industry-leading cost structure, there are opportunities which we can focus on and harvest over time. A great example is our Maritime Asset Strategy Transformation system, or what we refer to internally as MAST. As previously mentioned, MAST is a centralized system developed to optimize the management of equipment and machinery across all brands and all our ships. As we continue to roll-out MAST, it will allow us to leverage spare parts more effectively across the entire fleet and optimize our maintenance schedules and practices, all of which will strengthen our efficiency and reduce costs from unplanned maintenance over time. I will finish up with a summary of our refinancing and deleveraging efforts. During the first quarter, we generated cash from operations of $1.8 billion and free cash flow of $1.4 billion. We took delivery of two spectacular new ships and utilized two export credit facilities, continuing our strategy to finance our new build program at preferential interest rates. Also during the quarter, we successfully extended the maturity of our forward starting revolving credit facility by two years to August 2027 and upsized the borrowing capacity by $400 million, bringing the total commitment to $2.5 billion. We will continue to look for opportunities to upsize the facility through its accordion feature that allows us to add new banks and grow the commitment. Our efforts to proactively manage our debt profile continue throughout the quarter between open market repurchases early in the quarter and then our call of the remaining 9.9% second priority secured notes, we redeemed over $600 million of debt, removing the secured second lien layer from our capital structure. In addition to our second lien notes, we were able to repurchase almost $400 million of debt at a discount, adding power to our deleveraging efforts. We expect to continue our open market repurchase program on an opportunistic basis. We will continue to call some of our existing debt. In fact, yesterday we prepaid our $837 million euro term loan due in 2025 removing higher-than-average interest rate debt and another secured instrument from our capital structure. This further demonstrates our commitment to an investment-grade balance sheet. Our leverage metrics will continue to improve throughout 2024 as our EBITDA continues to grow and our debt levels improve. Using our March guidance EBITDA of $5.63 billion, we expect a two-turn improvement in net debt to EBITDA leverage positioning us more than halfway down the path to investment grade metrics. In summary, continued execution coupled with strengthening demand for our brands is driving increased confidence in our ongoing performance. We are pleased this has been recognized by S&P and Moody's with their recent upgrades as well as by our banking partners with their recent upsizing and two-year extension of our revolving credit facility. Looking forward, over the next several years, substantial free cash flow will significantly reduce our leverage, moving us further down the road to rebuilding our financial fortress, while continuing the process of transferring value from debt holders back to shareholders. Now, operator, let's open the call for questions.
Operator: Thank you. [Operator Instructions] One moment please for the first question. Our first question comes from Robin Farley with UBS. Please proceed.
Robin Farley: Great. Thanks very much. I wanted to ask about your commentary about considerably higher for the remainder of the year. Just looking at the math of that, is it fair to say that it looks like your per diem growth in the rest of the year is accelerating to maybe 6% or higher compared to the 5% in Q1? I just wanted to get it if that sounds right in terms of what your -- what you think considerably may mean. And then just if I could ask as a follow-up, in terms of ship orders, obviously saw your second ship order yesterday since the pandemic, and there was a line in it that said you continue to review fleet plans or there was some wording that I thought maybe suggested you might have another ship order later this year for 2028, which would be completely in line with what you've said long-term, but is that kind of what the language is suggesting? Thanks.
Josh Weinstein: Hi. Good morning, Robin. This is Josh. So, yeah, I mean, the good news is we just experienced a first-quarter booking activity that really knocked the cover off the ball, which is really gratifying to see. The volumes are going to naturally taper down, as we talked about, but the good thing is people are paying for what we have left to offer. And so when we came up with our guidance for yields overall, it was not just based on occupancy, it was based on occupancy plus per diem growth in pricing, and that is playing out. So I won't give you a specific number for rest of year or fourth quarter, but we know the comps get harder, but that's not an excuse. We just need to make sure we're doing what we need to do on the demand and get the per diems up year-over-year every quarter, which is what our expectation is. So that trend has continued well, and the great thing is that hasn't stopped. If you look at the first month of our next quarter of March, that trend has continued. So we're in good stead there, and that's spilling into 2025 as well, where, as you heard me say and David say, we're off to another unprecedented start, which is great to see. As far as the newbuild, yeah, we're incredibly excited that we've restarted our newbuild ordering. But as you mentioned, in line with what I've been saying for almost two years now, which is when we restart, which is what we've done, we're talking about one to two chips a year starting in 2027. There won't be another one in 2027. That will be what we've got. As far as 2028 goes, could there be another one? It's not closed, but I wouldn't necessarily bank on it either. We are working on more things that are going to be geared towards our highest returning brands as we've been talking about. And when there's something to talk about, we'll certainly share it.
Robin Farley: Okay, great. Thanks very much.
Josh Weinstein: Sure.
Operator: Our next question comes from David Katz with Jefferies. Please proceed.
David Katz: Hi. Good morning. David, appreciate all the insights so far with respect to the guidance et cetera. But with the ship orders and just taking a much longer-term view, presuming, and I just looking for confirmation that, that doesn't change or alter the path to investment grade by sort of adding some more CapEx to the system longer term.
David Bernstein: No, not at all. We are working down our road to investment grade. We are prioritizing the repayment of debt and the repurchase of debt. And we look -- as we did in the first quarter, as Josh indicated, and I gave the details, we prepaid $1.8 billion of debt so far this year. And with improved EBITDA, we expect to get to investment-grade metrics in 2026. And remember, Josh, we're only talking one ship to two ships a year and with the cash generation, we expect to continue to see improved debt, net debt to EBITDA in 2027 and '28 as well with -- even with the new orders on our path to investment grade.
Josh Weinstein: Yeah, when we came up with our roadmap, sorry, this is Josh. We did factor in the assumption that there would be future newbuilds with stage payments in advance. So that was already factored into how we were thinking about the world and still being able to pay down the debt and get to those investment-grade metrics.
David Katz: Understood, Josh. And if I can just follow up quickly, and I know I asked this repeatedly, I'd love to just get your sense for sort of what's at or near the top of the list in terms of just the business in general and other change in execution or how things are done or other improvements that you're working on. Thanks.
Josh Weinstein: Sure. I'm going to sound like a broken record. When it comes to the commercial side of the operations, I think everybody has room to improve across all areas and that's never going to stop being a focus. And we're seeing a good amount of progress and that's across the advertising, across revenue management, across onboard execution, certainly deployment planning, I mean, you name it, we just expect to continually understand our business, understand our guests brand by brand, and have them execute at the highest level possible. So we've talked about some game changers for us around Celebration Key, which will be coming in 2025, a new period, Half Moon Cay, which will open up that destination which is a true jewel to even more guest flow. So there's certainly some very specific strategic assets that we've got moving in place which are going to be a great tailwind for us. But I think the bigger tailwind is really having our brands perform across their core markets, to their core guests, to the best of their abilities.
David Katz: Thank you. Appreciate it.
Operator: Our next question comes from Brandt Montour with Barclays. Please proceed.
Brandt Montour: Hey, everybody. Good morning. Thanks for taking my question. Josh, when we look at your per diem growth for '24 guidance and we think about what went into that and we rewind the clock six, nine, 12 months, we remember that you guys were what we call -- what you call base building for '24 throughout last year, and it was a pricing environment that arguably isn't as good as it is now. And so I guess the question is, when you think about where you were last year and where you are this year, is the strategy going to -- do you feel better and is the strategy any different when you're thinking about base loading '25 and where we could be in 12 months from now thinking about pricing growth?
Josh Weinstein: Yeah, I mean, I do feel better. I feel better because we have another year under our belt of our brands, really focused on optimizing their booking curves. We're doing it in an environment which we get the benefit of, let's call it a full year of somewhat normal, whereas last year, depending on the brand, it was a struggle of trying to fill short-term and think long-term. This year we -- because of what we've been able to build going into the year, we -- I mean, it's historical. We have the ability to really lean in even more into optimizing from a strategic perspective as opposed to plugging holes along the way, which we were focused on as well last year. So I think the future is quite bright.
Brandt Montour: Okay, that's helpful. And then you guys did touch on the EA brands and the European brands and how they're doing. I was wondering if we could just sort of double-click on that and talk about -- and maybe you could tell us those brands' recovery versus '19 and how they're tracking versus your North American brands and just sort of split it out between occupancy, ticket and onboard and sort of what inning those brands are in across those three metrics. That would be helpful.
Josh Weinstein: So, let me give you -- I'll give you overall, and David, if you want to add some color, certainly feel free. I think the biggest difference between the brands by segment, when you think about this year is the huge occupancy jump that the European brands are making year-over-year. And it's an occupancy jump that was really focused primarily on the first half of the year. And then it all started to normalize a good amount more as we got to the second half of last year. From a pricing perspective, from an onboard spending perspective, and as we make our way through this year from an occupancy perspective, everybody is moving on both sides of the Atlantic in a positive way. So this -- as expected, we knew that the European brands would be an outsized driver of yield improvement for us simply because of the occupancy. But I can tell you this, they're not doing it at the expense of price. Our European brands are getting price and occupancy.
Brandt Montour: Okay.
Josh Weinstein: David gave me a thumbs up, so I hope that answers your question.
Brandt Montour: Great. Thanks, guys.
Operator: Our next question comes from James Hardiman with Citi. Please proceed.
James Hardiman: Hi. Good morning. So maybe just to belabor that last point about occupancy, it seems like at least part of the first quarter success was occupancy was better than you thought. I'm assuming we're at a place now where it's not just about filling rooms, it's about filling rooms with more people to get to higher occupancy. So what drove that outperformance? And is there a way to think about the full year and/or the second quarter occupancy number? Obviously, there's a wide range to what could be considered historical. But I don't know, versus 2019, how should we think about occupancy this year? Thanks.
Josh Weinstein: Hey, James. So I think David talked about last quarter, the historical range, we're talking 104 to 107, and 2019 was the peak at 107. That may or may not be the right ending point for us. And I'm not trying to be vague, because we want to give our brands the flexibility to not optimize for occupancy or price, but it's about yield. It's about the combination of both. So I feel quite good about where we are. We did beat a little bit in occupancy, and we also beat a little bit in price in the first quarter, which was good to see. And from my perspective, I'd like us to outperform on both every single quarter. So, yeah, there's no games here. I expect us to be well in the historical range, and we'll take it and our brands will take it as far as they think it should be in order to get the price combination along with the occupancy.
James Hardiman: Got it. And then, yeah, go ahead, David.
David Bernstein: Yeah. The only thing I'll add is, keep in mind is that we essentially got back to historical occupancy in the back half of 2023. So the occupancy opportunity in 2024 is much more heavily weighted to the first half, which I described in the -- in my prepared remarks, where we were able to increase occupancy considerably by 11% in the first quarter. And we do expect occupancy to go up in the second quarter as well.
Josh Weinstein: And our brands, I don't want you to take this the wrong way. Our brands are being quite thoughtful about opportunities to introduce more families than they maybe had in the past, looking at their cabin configuration. So there's always opportunities and we encourage our brands to certainly lean into that.
James Hardiman: That's helpful. And then, Josh, you seem to make a point of noting that you don't think the current demand strength is really pent-up demand at this point, which seems to suggest that maybe we've graduated from the post-pandemic phase to the post-pandemic phase. Maybe speak to the secular story that seems to be building here whether it be from an industry perspective or a company-specific perspective, I think a lot of people are just trying to figure out the sustainability of the demand growth that we're seeing. Obviously, per diems are ahead of sort of that long-term algo, right? How long can that ultimately last, and what are going to be the drivers there? Thanks.
Josh Weinstein: Sure. So I'll -- I think I'll speak for the industry. Jason, Harry, hope you don't mind. But I would say that there is more and more of a realization of the value and experience gap that cruising has to other alternatives. And since the pandemic, both of those things have effectively gapped out because it's a greater value because of the price jacking that the land-based operations have been able to do and they've done it without providing a comparable guest experience. And when you compare that to us, even with our outsized per diem growth, it's still a value gap. People are not stupid. Consumers are not stupid. They are looking for value and they're looking for experiences that are worth paying for. And when you line that up, it is boating very well for the cruise industry. We now speak on behalf of the corporation, we are also leaning more into advertising, getting our messaging out, doing it more effectively, which is additional tailwinds. We -- our new to cruise is up over 30% versus last year first quarter. It's not pent-up demand. It is truly casting the wide net, having a great experience and delivering. And so I do not see an ending point. We have room to close the gap to land when it comes to the value and still be able to champion the value while leaning into the experience. So I think that backdrop is incredibly encouraging for the industry.
James Hardiman: That's really good color. Thanks, Josh.
Josh Weinstein: Yeah, thanks, James.
Operator: Our next question comes from Steve Wieczynski with Stifel. Please proceed.
Steven Wieczynski: Yeah. Hey, guys. Good morning. So, Josh or David, if we go back to the yield guidance for the year or the revised yield guidance, I should say, moving it up 100 basis points, I mean, I think that makes total sense, given you have a lot more visibility into the way that the year is going to look, and you're not -- you're probably in an extremely, extremely well-booked position. I guess my question is going to be more on the onboard side. And as you kind of think about the rest of the year, I would assume you guys are probably taking somewhat of a conservative view around the onboard metrics. And I guess saying that even differently is if onboard kind of stays where it is today, I would assume there's probably then upside to the -- to your guidance. That -- can I ask that that way, hopefully?
David Bernstein: Steve, I think one of the things, remember onboard, as I mentioned in my prepared remarks, we are seeing increases on both sides of the Atlantic. It's just that there's a mix impact, and you're going to see somewhat of a mix impact in the second quarter as well although not nearly as big for the first -- as the first quarter because of the occupancy growth will not be as great or I should say the opportunity will not be as great in the European brands in the second quarter. But on both sides of the Atlantic, it's going up and we feel very good. We're -- as I said, we're seeing continued strength in onboard on the guests. We are accelerating the pre-cruise sales. We saw a double-digit increase in terms of the percent of pre-cruise sales of onboard revenue in the first quarter. So a lot of positive things are happening and all of that was built into our guidance.
Josh Weinstein: Yeah, I'd say, Steve, as always, we try to give our best understanding of how the world looks today while continuing to push and press internally with our brands to optimize and maximize both on the ticket and on the onboard spending, which is more important as we move forward to look at on a combined basis, given bundling and how we package things for our guests. And it just hasn't slowed down, which is really the message that people should take. And I know there was some commentary that came out that caused some noise about are there -- is there anything that we need to be worried about for Q4 slowing down? And for us at least, it's the opposite. The acceleration has included Q4 both on the volume and the price. So long may it last.
Steven Wieczynski: Okay, thanks for that, guys. And then second question, I'm going to ask about 2025. And look, I'm sure you're obviously very limited in what you can say around bookings, given it's still so far out. But if you look at bookings for next year, I guess what I'm trying to get a sense is, are you seeing a change in who's booking today? And what I mean by that is normally you'd be booking your longer, more exotic itineraries right now, but are you starting to see more, what we would call the normal itineraries being booked this far out? And are you continuing to see that new-to-cruise category for next year still be pretty strong or is it just still too early?
Josh Weinstein: So the -- as to the first part, the good news is it really is across the board. It's not just more people on world cruises, which we are seeing. So not to discount that, but what we are seeing is an improvement in the revenue management and booking curve across the board. So I think that bodes well for 2025. I think it's probably too early to talk about composition of guests, other than to say, our profile as we have been going quarter by quarter, has been improving that casting of the net to go beyond brand repeaters and going into new-to-cruise, which I think is probably the greatest litmus test that things are working, that the message is getting through. Now, we also have -- we also do have Celebration key, which as we get closer and closer to 2025 and closer and closer to its opening, which isn't until the second half of '25, I think we'll be able to see and talk more and more about the halo impact of that in our arsenal.
Steven Wieczynski: Okay, great. Thanks, guys.
Josh Weinstein: Thanks.
Operator: Our next question comes from Jaime Katz with Morningstar. Please proceed.
Jaime Katz: Hi. Good morning. I want to piggyback onto that value proposition question we had earlier from James. And I guess, can you talk a little bit about what is motivating consumers to actually convert the booking? Is it bundling? Is it traditional marketing like advertising? Is there something else or has there been sort of any change in the pattern to what is motivating people to make that decision? Thanks.
Josh Weinstein: Sure. I don't think there's necessarily a change other than we are doing things better than we used to. We are doing a better job, I believe, investing more in advertising and doing a better job of getting the word out. Like I said, the revenue management, right, pricing it right at the right point in the curve to get people to commit is quite important. But the other, sorry, I just lost my train of thought. So I just leave it at that. I don't see anything that's inherently different other than being able to go deeper into what we are doing and doing it well. And the results that we see, not only from the bookings, but from the search activity, from the website visits, from the conversion, it's all moving in the right direction. That says all of those commercial activities are supporting our ability to get that message out. And the other thing -- I know what I was going to say. The other thing I'd say and this is not a thing about pre-pause versus post-pause. This is -- you also got to remember that if you think about the four-year period that we have just gone through where we had no sailings and then slowly ramping up, this is the first year that we've really got full capacity. All guests on board our ships that then get off of our ships. And when they get off of our ships, they go tell their friends and their family how amazing it is and help us convince newcomers to come aboard. And so we really are finally back at this point where we have all of those channels and all of those avenues at our back to support the future.
Jaime Katz: Okay, that's helpful. And then I think there was a comment that there was some benefit to a timing of expenses in the first quarter. Is there any shift in the timing of expenses over the back three quarters that would be helpful to be aware about. Thanks.
David Bernstein: We gave guidance for the second quarter. The third and fourth quarter, probably the third quarter might be a little bit lower than the fourth overall, but nothing that was -- no shifts that we're seeing at the moment.
Jaime Katz: Excellent. Thank you.
Operator: Our next question comes from Matthew Boss with JPMorgan. Please proceed.
Matthew Boss: Great, thanks, and congrats on another nice quarter.
Josh Weinstein: Thank you.
Matthew Boss: So, Josh --
Josh Weinstein: Is that a question? All right. Go ahead, Matt.
Matthew Boss: So near term and maybe relative to the phenomenal wave season and the strength that you cited across brands, I was hoping maybe, could you elaborate on trends that you're seeing today at the Carnival and AIDA brands, maybe relative to the direction of improvement that you're seeing across your other seven brands as we think about maybe just the remaining opportunity across the portfolio in 2025 and beyond?
Josh Weinstein: I think -- that's a good question. Let me think about how I want to answer that. I would say that both of those brands have actually fully recovered at this point to pre-pause. Their ROIC is already back to where it was and in fact exceeding. When we talk about the spectrum and where all of our brands have been and where they currently are on the commercial space, right, when it comes to revenue management, when it comes to the deployment planning, when it comes to the performance marketing, brand marketing. I would say those two brands, not surprisingly, are our leaders in those categories. And so it does give us the roadmap for the other brands to follow suit, right? And that is what we're doing. I mean, I don't want anyone to call to misunderstand what I'm saying. All of our brands are improving. Not surprisingly, the ones that performed at the top before are back at the top again. And we are making sure that the learnings and the practices are being shared and disseminated and utilized across the board, which is why we are getting back our ROIC piece by piece. And we -- on this guidance, we'll be back to above 9% at the end of this year. We've got three more points after that to meet our targets for 2026, which I'm confident in, and then to go further. And we're going to do that by continuing that progress on the commercial space.
Matthew Boss: And then maybe just a follow-up. So if we think about the booking curve at record levels and obviously providing some increased forward visibility. When we think about pricing power in '25 or multi-year, and I'm just thinking back to the baseline of low-to-mid single-digits, historically, the incremental seems like the experiences and the investments that you've made as we think about opening of Celebration Key in the second half of '25. So just thinking about pricing power moving forward, maybe relative to the historical baseline, what the opportunities may be?
Josh Weinstein: Yeah, although I'd love to say that's what we're banking on and it's that easy. It's not. I mean, it is. Celebration Key is going to be fantastic and we're already seeing the start of that impact. But I cannot -- I can't emphasize enough when we are doing a good job on revenue management and pulling that booking curve forward and managing the pricing through the curve as opposed to tanking pricing at the end. You don't need, it's math, right, and it works. And it means that we can maintain that price consistency and pricing is going to go up as we go year-over-year. And to the point you're asking about our other brands, some of our brands have been doing that well for years, some of them have not. But the ones that have not are leaning into it now and we're starting to see -- starting to see that improvement. And the great thing is there is a long runway for that to continue.
Matthew Boss: Great. Best of luck.
Josh Weinstein: Thank you.
Operator: Our next question comes from Patrick Scholes with Truist Securities. Please proceed.
Patrick Scholes: Great. Good morning. Thank you. Josh, certainly, you've talked sort of high level on positives around Celebration Key. I'm wondering what sort of daily cruise pricing premium you're seeing or maybe expecting for itineraries that do stop at Celebration Key. Thank you.
Josh Weinstein: Hey, Patrick. So we're not giving guidance for '25 yet. And since we're not sailing there until 25, I'm going to be careful about how I answer this. I would say, first of all, we are expecting -- we are, as I said in my notes, we're expecting an uplift both on the ticket side and the import spending, which effectively will come across as onboard revenue. It's too early to give you specifics. When we did our investment for Celebration Key, and then we effectively just doubled down to get a peer for two more berths. We did that with a very healthy ROIC. And that ROIC is coming from three main components. One is the incremental ticket, two is incremental import spending, and three is the benefit we get from creating something so close to so many home ports in the United States that it cuts our fuel consumption considerably. So those three components are what's driving that decision-making, and it's going to be a great guest experience and be an incredible asset for us.
Patrick Scholes: Okay. And then just a follow-up on that. What -- from a high level, what are some of those opportunities for upsell once you are on the island of Celebration Key? Obviously, I'm familiar with competitors, what they -- what items they charge, what they don't. Maybe a bit of a softball question, but what do you think people will be saying? We'll be really willing to pay up for to have an extra, extra special time on your island. Thank you.
Josh Weinstein: Sure. So it'll be a combination of things. We have a private beach club as part of the bigger development of Celebration Key, which isn't an island. It is part of Grand Bahama, which is a phenomenal home for us. We're going to also have a huge capacity of cabanas, overwater cabanas, different sized cabanas that people will be able to rent for the day, which you'd be surprised at how much people are willing to pay to rent cabanas for the day. There's going to be F&B opportunities. There are retail opportunities. And that's just the start of phase one, because we have only built on or we will have built on about a quarter of the property that we got our -- that we own. And so phase one is that. And phase two will be incremental guest experiences and spaces and revenue opportunities.
Patrick Scholes: Okay. I'm all set. Thank you.
Josh Weinstein: Thanks, Patrick.
Operator: Our next question comes from Ben Chaiken with Mizuho. Please proceed.
Ben Chaiken: Hey, good morning. Thanks for taking my question. Just to dig in on the cost cadence a little bit more. 1Q better than guide sounds like some timing, I guess to clarify, does that mean it slipped into 2Q a little bit and then 2Q also includes 1.3 points from Red Sea? I guess with this -- with that in mind, the full-year cost guide is 5% constant currency which I think suggests something around mid-single digit in the back half in the context of the year-over-year occupancy is getting easier relative to the one-half. I guess, one, do I have those moving parts correct? And then two, could you help us better understand the variables that you're considering in the second half? Thanks.
David Bernstein: Sure. The moving parts are correct. The average for the first half of the year that the 7 point -- 7% in the first quarter and 3% in the second is about 5%, and the back half is also about 5%. Some of the difference is driven by dry dock days as well because we had a different timing between the quarters. I think in December I had indicated the amount of dry dock that increased in the first quarter. There's also differences in advertising and a number of other things between the quarters. I always talk to people about measuring us on our full-year cost guidance because the timing of expenses between the quarters sometimes is a choice of things that we want to spend either on repair, maintenance or other things. So look at it from a full-year perspective and that's the best way to judge us.
Ben Chaiken: That makes sense. Just maybe a little bit more detail on the dry dock. Could you maybe clarify the quarters? I believe originally it was 1Q and 4Q were the heavy dry dock quarters. Is that still the right way to think about it or how would you?
David Bernstein: Yeah, that is. And the 1Q is considerably higher than the second quarter or the fourth quarter.
Ben Chaiken: Thank you. I appreciate it.
Josh Weinstein: So, operator, I think we got time for one more question.
Operator: We have a question from Lizzie Dove with Goldman Sachs. Please proceed.
Lizzie Dove: Hi. Good morning. Thanks for taking the question. I think your ticket price per passenger is very strong this quarter, and it sounds like a pretty decent outlook for this year and '25. I'm curious how much of that is kind of benefit from some of the new hardware. The Firenze joining the fleet over from the other brand, Carnival Jubilee, Sun Princess. How much do these new ships impact pricing? What kind of premium are you getting and how does it change how you manage the pricing for the rest of the fleet?
Josh Weinstein: Yeah, so, good morning, Lizzie. Welcome to the first -- I think your first call or the first call since you've been covering us. So the new ships get a premium. There is no doubt that the new ships get a premium. The way we manage brand by brand, how much of that premium to get. It also depends on where we're putting that ship because we're not going to necessarily want to put the best ship on the best itinerary because that's not the good thing for the overall brand. So there is a -- obviously a bunch of different components to get into. What I will tell you though, I mean, just to take a step back, because remember, we've got nine brands, most of which have not had a new build and will not have a new build for some time. And the pricing improvements that we're getting are not focused solely on the brands that get the new ships. Brands that have not gotten new ships are seeing nice improvements as well in pricing. And so while I do love them, it's three this year out of 95 ships. And so the 92 ships, having them deliver outsized demand and pricing is going to move us more so than a premium on one or two of the ships. So I'm not disagreeing with the question, but I think to put it into perspective, it's much more important for us to get the per diems up on the rest of the fleet, which is what we've been very, very focused on.
Lizzie Dove: Got it. That's helpful. And then just one follow-up. I thought James question about the secular growth outlook was interesting. I know you guys tend to index higher on new-to-cruise than some of your peers. I think you said you captured 3.5 million of new-to-cruise guests last year. How many of those do you see then convert into second-time, third-time cruisers? And so how can we -- what's the outlook for like real category expansion here?
Josh Weinstein: Yeah, well, our brand repeaters were up 9% year-over-year. So it's -- it is -- it does translate into incremental overall demand for the long term. Now, cruisers don't generally go every year. We're looking for every three years to four years would be ideal for those of them that have decided they like what we do and want to come back. So that's part of the growth plan. It's casting our net wide and getting a good portion of them to sail with us again in the next three to four years.
Lizzie Dove: Got it. Thank you.
Josh Weinstein: Okay. Well, thank you, everybody. I appreciate the questions and look forward to seeing you all soon.
Operator: That does conclude the conference call for today. We thank you for your participation and ask that you please disconnect your line. Have a great day, everyone.